Operator: Hello, and welcome to the Subsea 7 Release of Q3 2016 Results Presentation. And throughout this all participants will be in listen-only mode, and after it there will be a question-and-answer session. Just to remind you, this presentation is being recorded. And today I’m pleased to pass you over to Isabel Green, Investor Relations Director. Isabel, please begin.
Isabel Green: Good afternoon, everyone. With me on the call today are: Jean Cahuzac, our Chief Executive Officer; Ricardo Rosa, our Chief Financial Officer; and John Evans, our Chief Operating Officer. The results press release is available to download on our website along with the presentation slides that we’ll be referring to on today’s call. Please take note of our forward-looking statements disclosure on Slide 2. Similar wording is also included on our press release. I will now hand over to Jean.
Jean Cahuzac: Thank you, Isabel. Good afternoon, everyone, and welcome to our third quarter conference call. In a moment, I will summarize our key financial and operational highlights, and then Ricardo, will cover our financial results in more detail. We will close with an update on the strategic importance of early involvement and collaboration with our clients, as well as our investment in technology. I will finish with a comment on our outlook. As usual, there will be time to take your questions at the end of the call. Turning first to the highlights on Slide 4, we have delivered another quarter of strong operational and financial performance, in a business environment which remains challenging due to the severe downturn in oil and gas investment. Revenue was $928 million in the quarter, and adjusted EBITDA was $289 million, down 23% and 18% respectively compared to prior-year period. Our adjusted EBITDA margin of 31% remained elevated as a result of successful completion and close out of several large projects, and also the benefits from our early action on costs and resizing. As a result of our financial performance year-to-date, we have raised our guidance for 2016 adjusted EBITDA percentage margin, and we now expect it to be higher than the margin reported in 2016. However, we are not forecasting the percentage margin to remain at this level going forward. We expect it to be significantly lower in 2017. Our net cash balance at the end of September was $943 million, maintaining a strong financial and liquidity position. Our financial security gives us the competitive advantage, as our [Technical Difficulty] know that they can depend on us. It also gives us the opportunity to consider potential strategic investment. Our fleet of active vessels achieved 91% utilization in the third quarter. This was an improvement on the second quarter with less downtime for planned maintenance and fewer gaps between scheduled activity. Total vessel utilization was 75%. As of September 30, there were 29 vessels in our active fleet, and we are on track with our resizing program as well as investment in new vessels. During the quarter, we took delivery of our new-build PLSV, Seven Sun, which have since commenced its long-term contract for Petrobras. Normand Seven was returned to its owner at the end of its contract, and we sold Seven Petrel to a buyer outside the oil and gas industry. Including vessels that are stacked under construction, we have a total fleet of 36 vessels, 8 lower than at the peak of 2014. Order backlog was $6.2 billion at the end of September. We did not announce any awards in the third quarter, and announced order intake was low, reflecting the challenging condition industry-wide. Although our clients continue to delay awards and limit discretionary work in the quarter, they’re engaging with us to seek solutions that will enable new project to be sanctioned. Looking ahead over the next 18 months, we believe that the better oil price and continued progress on sustainable cost reductions could drive more project awards to the market. Turning to Slide 5, Subsea 7 is a market leader in technology-rich and innovative solutions. Our project portfolio is diverse, with approximately 60 EPIC projects of varying size and complexity. We have performed well with good execution and risk mitigation, resulting in successful and safe project delivery worldwide. On the Aasta Hansteen project, we have concluded our third offshore campaign with all flowlines and control cables connected, ready for the final hook up with the Topside when it arrives in 2018. Aasta Hansteen is the deepest development in the Norwegian Sea to-date. And it was the world’s largest SPAR platform. Good execution has depended on our expertise across several engineering disciplines. The project required the design, fabrication and installation by relay, as the first-built [ph] mechanically lined BuBi flowlines in the Norwegian Sea, connecting to the SPAR and PSO to the region’s first steel catenary risers. Offshore UK, we have been installing the riser system on the Catcher project, a bundled state solution for Premier. This riser system was challenging and required an innovative buoy system. The riser system comprise ten flexible and three umbilicals, supported by three mid-water arches, one of which you can see on here on the slide. It was installed by our crews on the Normand Seven of our two companies lasting 80 days. Our work on this project is due to complete in 2017, with hook-up and commissioning, which involves an extended diving campaign. Other projects progressed well in the quarter, our Maria and Martin Linge, both located offshore Norway. And the first phase of the West Nile Delta project, developing the Taurus and Libra fields offshore Egypt. Lastly, we completed and closed out the TEN project offshore Ghana, following the completion of our offshore campaign earlier in the summer. Moving to Slide 6, our backlog was $6.2 billion at the end of September, down from the 7.1 billion three months earlier. Order intake was low with less than $100 million of new awards, reflecting subdued industry condition. The phasing of our backlog was, as if somewhat compared to the last quarter, due to the scheduling of work on the Beatrice Wind Farm project. Approximately two-third of the revenue related to this project is now expected to be recognized in 2017. In September, we were awarded frame agreement linked to a new partnership contract with Aker BP. Frame agreements are not included in our backlog, but we are confident that this work will be called off over the next four years. Also not included here is the Atoll project, offshore Egypt, which we were awarded in October. This will be added to our backlog in Q4 and reflects continued success in this country, which closed to $2 billion of work awarding to us over the last 18 months. I will now hand over to Ricardo to cover our financial performance in more detail.
Ricardo Rosa: Thank you, Jean, and good afternoon, everyone. I will begin on Slide 8 with the key highlights from our income statement. Third quarter revenue of $928 million was down 23% from the prior-year period, reflecting declining levels of activity industry-wide. Adjusted EBITDA was $289 million for the quarter and included a restructuring charge of $52 million, of which $16 million was charged to administrative expenses, this takes the cumulative restructuring charge this year to $105 million, slightly higher than our initial guidance due to the inclusion of onerous lease provisions related to the resizing. We do not expect to incur any material restructuring charges in the fourth quarter. In 2015, our third quarter adjusted EBITDA included a $36 million restructuring charge. Excluding the restructuring charges from both periods, adjusted EBITDA was 12% lower year-on-year. Net operating income for the quarter was $195 million, just 9% lower than the prior-year period, although, 2015 was adversely impacted by $36 million asset impairment. Net operating income included $11 million share of net income from associates and joint ventures. This was down $22 million on the third quarter 2015, due mainly to lower activity for Seaway Heavy Lifting. The tax charge for the quarter was $37 million, implying an effective tax rate of 20%. This relatively low rate reflected revisions to the full-year effective tax rate in response to an expected improvement in full-year income before tax. Net income was $149 million, which gave rise to diluted earnings per share of $0.44, 4% lower than for the prior-year period. I’ll now move onto Slide 9, the results of the third quarter are the first we reported under our new reporting segments, which reflect our three business units. SURF and Conventional is our largest business unit, it generated revenue of $801 million and net operating income of $204 million, down 25% and 19% respectively on the prior-year period. Revenue performance reflected challenging industry conditions. Adjusted EBITDA benefitted from contributions from the TEN projects Offshore Ghana, which was successfully completed and closed out in the quarter as well as certain large North Sea projects that were nearing completion. Our i-Tech Services business unit produced $97 million revenue and $19 million in net operating income. The lower activity compared to the prior-year period was more than compensated for by cost reduction measures, including the return of a number of chartered vessels to their owners over the last nine months. Our corporate business unit includes renewables and our share of Seaway Heavy Lifting’s net income. It also includes the operating costs and depreciation charges pertaining to our stacked vessels. This business unit contributed revenue of $30 million in the quarter. This increase in revenue compared to the prior year due to the commencement of the $1.3 billion Beatrice Wind Farm project, which was awarded earlier this year. The net operating loss of $28 million included charges for restructuring in both years and in 2015 also included the $36 million charge for asset impairment. Slide 10, shows our historical performance of EBITDA percentage margin, our margin has been strong in recent quarters, and has exceeded our expectations and initial guidance in both 2015 and 2016. This performance is the result of several factors, and we do not consider it sustainable into the future. Firstly, our margin has been boosted by our prompt action on costs. We began to reduce the size of our workforce in 2014, as our clients were already highlighting the need for savings even before the oil price started to fall. We’ve implemented two major costs reduction and resizing programs, one in 2015 promising $550 million of annualized savings, and one is 2016 with another $350 million in expected annualized savings. The savings being delivered by these programs have helped us to stay competitive and win new work with lower operating costs than our peers. The savings we have achieved have also lowered our engineering, project management and supporting overhead expenses on lump-sum projects already underway, thereby enhancing our margin. However, as the projects awarded prior to the downturn are completed and are replaced by more recently won work, the benefit of these margin-enhancement measures will significantly decline. The second key contributor to our strong margin has been our consistently good execution, which has resulted in fewer cost overruns and success in de-risking our projects, percentage of completion accounting is consistent when the cost estimate at the start of the project does not change as the work progresses. When we reduced the project-specific risks and costs through good execution, we tend to complete the project sooner and reduce our contingent cost burden. This explains why we have had an increase in percentage margin in the late stages of project execution. We will be working through the final phases of several large projects, which were awarded before the downturn. The result of this is that the average percentage of completion of the projects in our portfolio is higher than at other points in the business cycle. As our mix of projects normalizes, the average percentage of completion will decrease, and so will our margin. Lastly, in recent quarters there have been significant contributions from final settlements and close-outs. These relates to projects where offshore operations being completed and for various reasons the project close-out stages have been protracted and settled over extended periods. This is the least predictable element of our margin variants, as the timing of settlement is uncertain. But we can guide to the fact that the number of projects in extended close-out mode is diminishing. I now turn to Slide 11, which provides an overview of cash flow for the nine months to September 2016. Net cash was $943 million at the end of September, approximately $200 million higher than the position at the end of June. Our financial and liquidity positions remained strong with cash and cash equivalents of $1.4 billion, supplemented by $1.1 billion of undrawn credit facilities. In the third quarter, we generated $234 million in net cash from operating activities. The balance of our net negative working capital at the end of September was approximately $780 million, compared to a negative position of approximately $700 million at the start of this year. Contrary to this favorable moment year-to-date, we still expect our negative net working capital position to diminish in the full year, as we complete large projects, close out certain net liability positions and the restructuring provisions are largely utilized. Our strong financial position enabled us to absorb these anticipated working capital moments and grasp strategic investment opportunities that arrive. It also gives our clients and lenders confidence in our medium- and long-term outlook. During the third quarter, we incurred $71 million in capital expenditures mostly related to our new-build vessel program which is now almost completed. We also invested $18 million in the acquisition of a pipeline technology company Swagelining with additional consideration payable in future periods, contingent on the achievement of pre-agreed performance milestones. Turn on Slide 12, our new-build program is progressing well, with all six vessels expected to be completed for less than $2 billion in total. The latest vessel to join our fleet, Seven Sun, after successful sea trials and commissioning commenced its long-term contract with Petrobras in November. The remaining three new-build vessels are all on schedule to commence operations in the first-half of 2017. Before I hand back to John, I would like to discuss our guidance which is summarized on Slide 13. For 2016, we continue to expect revenue to be significantly below the levels reported last year, but in the light of the results year-to-date and our outlook for the fourth quarter, we now expect our EBITDA percentage margin to be higher than 2015. This expectation of improved profitability has allowed us to adjust the forecast range for the effective tax rate downward to between 28% and 30%. We have reduced our guidance for sustaining capital expenditure in 2016 to between $90 million and $120 million, reflecting our disciplined approach to investment. We’ve also reduced our projected changes in net working capital to between $100 million and $200 million. Finally, our net finance income is now expected to be up to $10 million reflecting our higher cash balance. All other 2016 guidance remains unchanged. While we believe the downturn in project sanctions and client awards to market is now bottomed. We do not foresee a rapid increase in offshore activity in the near term. We have $3 billion of backlog of work in our backlog for execution in 2017, and we hope to add to that. For this reason, we expect our revenue in 2017 to be broadly in line with our forecast revenue for 2016. Using Slide 10, I explained why we do not believe the high percentage margins achieved in 2015 and year-to-date in 2016 can be sustained. As the mix of our projects changes, we expect our percentage margin to fall. As a result, our guidance for 2017 is that adjusted EBITDA percentage margin will decrease significantly compared to 2016. I will now pass you back to Jean.
Jean Cahuzac: Thank you, Ricardo. Turning to Slide 15, Subsea 7 aims to be the partner of choice for our clients for all their offshore engineering and construction activity. We achieved these by executing at the highest standards time and time again, delivering complex solution that depend upon our expertise and experience. We firmly believe in working collaboratively, and it is one of our company values. To us this means working closely with our clients and other suppliers to produce outcomes that are better than some of their partners. It’s our technical and operational credibility and our good client relationships that enable us to engage earlier in many projects. This approach continues to allow us to identify cost savings and deliver innovative solution. Innovation comes in many forms. Firstly, it can mean new technology and we have certainly delivered on this with one of the greatest and fastest growing collection of patents in our market segment. Secondly, it can mean new practical approaches such as those we are seeing with integration of SURF and SPS that we are progressing in alliance with OneSubsea. And finally it can mean new contractual agreements like our long-term partnership arrangements. Taking each of this in turn and starting with technology on Slide 16. We have continued to maintain significant investment in technology despite the downturn. In addition to our targeted in-house technology programs we are interested in bringing new technology into the group by acquisition and by forming joint development programs with industry and universities. In August, we announced the acquisition of Swagelining. We have worked with Swagelining for a number of years. In the last few years, we have installed over a 150 kilometers of water injection pipes in the North Sea with Swagelining’s polymer lining, the most recent case being the Maria project for Wintershall. It’s our belief that we can introduce this technology to projects worldwide. In addition to its existing commercial application to lower the cost and improve corrosion resistance of water injection pipes, we have the opportunity to develop this technology for future application in production pipelines. Turning now to another way - sorry, Slide 17; turning now to another way. We work collaboratively - sorry, mixed my papers. Turning now to another way, we work collaboratively, our alliance with OneSubsea, which is shown on Slide 17. This alliance which is operating on the other brand name, Subsea Integration Alliance, was formed in mid-2015. It embraces the opportunity to lower cost and reduce rates for our clients by combining our SURF services with OneSubsea’s SPS offering. The reaction of our clients has been positive with high levels of interest, leading to 30 opportunities to investigate the potential application of an integrated solution. From these 30 engagements, we had already carried out 8 paid early engineering studies, delivering detailed analysis of the Subsea architecture and installation. And we expect project awards in the near future. Moving on to partnership on Slide 18, as a specialized contractor concentrated on offshore oil and gas, we can get closer to our clients and be more flexible in our approach than larger conglomerate service providers. Our growing collection of client partnership agreements is evidence of this. We have formed collaborative long-term arrangements with several clients to engage early and help them to find the right solution for their field development needs. Our most recent partnership agreement that I have mentioned earlier is with Aker BP. This particular client-led agreement, thanks to a full SPS SURF integrated approach, and is based on a new commercial model, where the project risks and rewards are shared in a more balanced way between all partners. Turning to Slide 19, the near-term outlook remains challenging and the timing of new awards to market is uncertain. However, the rise in the price of oil and lower project costs, have encouraged our clients to review their future of projects. Assuming that this factor can be sustained there is cause to believe in an increase of rewards to market, within the next 18 months. We do not expect to reshape recovery and are prepared for a slow back to a more normal levels of activity - a slow climb back to more normal levels of activity, sorry. Slide 20, summarizes our views of the outlook for each of our business units. We offer our clients differentiated services based on expertise and experience, our technology and collaborative approach. We have a highly competitive offering, but our deep-rooted and disciplined attitude to project risk is unchanged. We have added some project to our list of key active market tenders, respecting our more positive market outlook. They are just a small proportion of the longer list of projects we are monitoring, representing the most likely last project to be awarded to market. The timing of this project remains uncertain, but we see an opportunity for them to be awarded to market within the next 18 months. As illustrated by this list, some offshore areas are more favorable for near-term development that poses. We continue to see momentum on projects to develop gas for domestic consumption. We have already captured significant work offshore Egypt and we are now looking towards India for the next wave of live development projects including Block 98/2 and KG-D6. Tieback projects are in favor with our clients, this is built on existing investments and top of production facilities, as depletion takes effect. As the project listed here Mad Dog 2, Platina, Lianzi, Skarfjell, and Pil are all tiebacks into existing infrastructure. The longer old tiebacks are dependent on leading-edge technology solution to enhance flow and present an opportunity to investigate integrated solution. This narrows the competitive sales of these projects. We have not yet included in our list a new EPIC project, Offshore Brazil, and timing remains uncertain. Brazil have potentially low project breakevens due to it has a high projection of the pre-sold [ph] fields. And we have long-track record of working offshore Brazil and look forward to engaging with our clients, when the opportunities arise. Moving onto i-Tech Services, we have made good progress in our aim to develop this business unit despite the market headwinds. Reconciliation had been affecting our third-party overhead [ph] service, but we have replaced some of the last activity with new contracts in Brazil and Australia. The inspection repair and maintenance market is steady and we are successfully driving repeat work based on the quality of our execution and client relationship. We remain active in renewables and heavy-lift services, mostly through our joint venture company Seaway Heavy Lifting. There are a number of substantial renewable energy awards to market expected in 2017 and beyond. To conclude, we are doing what is needed to remain strong and competitive in this challenging market. The industry-wide changes and development costs and rebalancing of oil supply and demand are enabling some projects to move forward to our final investment decision. The last 18 months have been difficult with low-levels of award activity and considerable industry downsizing. During this period, we’ve been actively managing our costs and the resizing initiative we took as early as 2015 are showing results. We remain committed to maintain our engineering and project management capability during this difficult times and I’m confident that we will continue to perform well for our clients. I have no doubt the Subsea 7 is well positioned for when the market recovers. And with that, I would like to open the call for questions.
Operator: Thank you. [Operator Instructions] We first go to line of Fiona McLean at Bank of America Merrill Lynch. Please go ahead. Your line is open.
Fiona McLean: Thank you. Fiona at Merrill Lynch. I have two questions. Firstly, on your cash pile, it has increased pretty significantly over the last year or so. I’d like to understand what your motivation is around that cash point and what you may do with it, may you return some to shareholders or do you want to keep some of it for any potential move you want to make in the down-cycle? And then the second question is around the alliances of - the one that you have with OneSubsea and one that you announced earlier in September with Aker. Could you just talk around how things are going with those propositions, what the feedback has been from your client-base and when would you expect to see actual project awards starting to come through, particularly from the OneSubsea alliance that you have? Thank you.
Jean Cahuzac: Ricardo, do you want to take the first question on the cash.
Ricardo Rosa: Absolutely, Jean. Good afternoon, Fiona. I guess, I just start and I want to start by saying that we are very pleased with the cash that operating activities have generated so far this year. I think it reflects very well on our project execution abilities and our focus on capital discipline during this challenging period for our industry. And in terms of how we want to manage our cash, we are constantly evaluating the impact of market outlook, the fact that we have an outstanding bond maturing in 2017. We have some movements that we expect on working capital, as well as some significant remaining capital expenditure commitments. After we adjust for these factors, our main priority remains a disciplined reinvestment in our business, whenever we see value adding strategic opportunities. And we think that our balance sheet strength allows us to take advantage of these opportunities when they arise. We also think that our balance sheet strength and liquidities being reassuring to shareholders and stakeholders alike, and is contributed to the upward trend in our share price since the start of the year. Now, this being said, we have a solid history of returning cash to shareholders, and this remains a constant area of evaluation both amongst us and the management team and with our board. And I would say that in the past, final decisions on cash returns have tended to be taken after our full year results alone.
Jean Cahuzac: Thank you, Ricardo. Regarding the second question on where we are with the alliance with OneSubsea and Schlumberger, I mean, the first thing I would like to say is that it’s we are now seeing more and more momentum and we are working very well on a worldwide basis with OneSubsea Schlumberger. And I mentioned I think in my script that we expect in the near future to have projects award in this area. We mentioned the alliance, the partnership with Aker BP and Det Norske becoming Aker BP. The partnership is with the client and we - when the clients, we function its project, I mean, we are expecting more work coming through the frame agreement. The client has already in parallel selected Aker as their supplier for SPS. And there was an opportunity to work with them on the specific projects to see how we could further improve the cost and the result for the clients, will drive our award for client there. It doesn’t change our overall approach with OneSubsea Schlumberger on a worldwide basis, and that includes a joint project, but also joint technology initiatives.
Fiona McLean: Okay. That’s very clear. Thank you.
Operator: We are now over to Andrew Dobbing at Danske Bank. Please go ahead. Your line is open.
Andrew Dobbing: Yes. Hi, it’s Andrew Dobbing from Danske. I would like to ask a question about costs please. You’ve given some guidance about what you expect the headcount to do. I think you’re saying 8,000 people by early 2017. So, I mean, your headcount is going to be down quite a lot on average in 2017. The fleet is going to be smaller. Now, correct me if I’m wrong, but I think the weak pound is helping a little bit as well on your costs. So bearing in mind all these things that are kind of putting downward pressure on cost, is it fair to assume that kind of costs for the group as a whole should be down in 2017 versus 2016? Now, I realize that the procurement side is hard to measure and there is lot of things impacting that. But I mean just to get a stare on it, if it’s fair to assume the costs should be flat or perhaps down a little bit overall in 2017. Thank you.
Jean Cahuzac: Yes. Thank you, Andrew. The first part I would like to mention is that these cost reduction is to adapt, to adjust the capacity of the company with the forecasted activity, but as we mentioned before remaining capability and I insist a bit on that, because very important for a company of us to maintain the resources which are required to continue to execute the project and prepare the future. So maintaining capability is something which is for me one of the first priorities. We are seeing reduction of cost, including reduction of cost of supply-chain for our projects. I think, it’s fair to say that this reduction of cost is passed to the clients and therefore does not affect our - doesn’t impact our bottom line in a meaningful way. Regarding the overall impact of the ForEx, do you want to comment Ricardo on…
Ricardo Rosa: Yes, Jean, I’m happy to and, in fact, I would like to expand perhaps the comments there. I think the weak pound versus the dollar has certainly helped us in terms of reducing our cost-base as we have significant resources that are sterling denominated. But however, I wouldn’t overplay that fact as that’d be the - the cost associated with the running of our vessels and our presence in various countries around the world tend to mitigate that positive impact. And it’s something that anyway we work towards naturally hedging. So don’t assume that it flows through into - in a significant way into our margins. I would emphasize what I’ve already pointed out earlier, which is that we are doing well. In fact, I would say that we have achieved the cost - annualized cost-savings that we targeted in 2015, when we announced our first resizing program and that was $550 million a year. And I have a high level of confidence that in 2017 we will see the full benefits of the $350 million annualized reductions that we’ve been working on this year. Now, some of those benefits have already flown through to us in 2016, but there are some - a balance, if you will, that comes through in 2017. The other thing I would like to point out very quickly is that the external costs, the third-party procurement cost which are linked very much to our project activities and are variable, as a percentage are likely to somewhat increase next year, because of the change in mix of project. And with that I hand it back to you, Jean.
Jean Cahuzac: Right then, think we can take the next question.
Operator: Thank you. Next question is from the line of Philip Lindsay at Credit Suisse. Please go ahead. Your line is open.
Philip Lindsay: Yes, good afternoon. I have two questions, please. First one is on Beatrice. What was the driver of the accelerated workload in 2017? And other than revenue shift from one period to the next, should we consider any other financial implication? For example, are there any early completion bonuses at stake? That’s the first question. Second question, are there any specific regions that have triggered the change in tone within your outlook statement? It looks like there’s incremental projects in Norway since your last update, perhaps West Africa too, with Zinia. But are there any - is there anything else sort of behind the scenes. I know you mentioned Brazil, but that’s more of a medium-term potential. Is there anything else, wind farm sector for example, you could talk to?
Jean Cahuzac: I will let John answer on Beatrice. But, I mean, talking about the projects, I mean, we mentioned that Brazil, the large EPIC project are not in very near term. It will come later, because it’s still a low-cost area for - on behalf of the high production. The timing of the project is still difficult to predict. So I wouldn’t be able to tell you Norway will pick up before Africa or before Asia. We told that it’s still not very, very clear. But regarding Beatrice, John?
John Evans: Yes, Phil, good afternoon. Yes, so Beatrice was six months into the project. We’ve awarded all our key fabrication contracts. We’ve awarded the three big fabrication for the jackets as well as the two big fabrication contracts for the piling materials. We also have our cable contractors and our umbilical suppliers all locked down. So what we now been able to do is to get the distribution of work between 2017 and 2018 year. That’s what we meant that we have a different proportion of work between the two years. So for us, it’s just around liquidating as much work as we can possibly do in 2017 based on what we can see today. Project is going well, and we’re meeting with the clients, which are reasonably very pleased six months into the project, where we’re at.
Philip Lindsay: Okay. And we shouldn’t think that the contribution from that project is any different when you signed it?
John Evans: No, we’re comfortable with where we are and where we signed it, and that’s how we’re showing at the moment.
Philip Lindsay: Okay. All right. Thanks. Cheers.
Operator: We are now over to Amy Wong at UBS. Please go ahead, your line is open.
Amy Wong: Hi, good afternoon. A couple of questions from me, the first one is just to get a little bit more detail on your cost savings again. The $550 million and the $350 million, should we think about those as costs that have come out of the non-procurement, non-project related costs, i.e., labor and other area head-office and whatnot? And the second question then is on Brazil. Great news like the Seven Seas has started operations. Could you give us some insight into the vessels, the new-builds to come, and whether the vessels are expected to start on time and according to the same terms and conditions that you agreed with Petrobras when the vessels were commissioned? Thanks.
Ricardo Rosa: Yes. I think, I will let John answer to the…
John Evans: On the vessels first, Amy, yes, we have the final three vessels at late completion in the build program. So Cruzeiro, we’re comfortable with where she is at. She’s one of our PLSVs and she’s go to work with Petrobras as we expected under her existing contract in the first-half of next year. The two Korean-built vessels, the Kestrel is due to come out on time and she will go to work on our DSVi contract in the North Sea next year. And equally, the Arctic, the big heavy construction vessel is being completed in the yard and we’re comfortable with her delivery, and she has work allocated to work on the North Sea again next season, so three remaining vessels comfortable with our budgets, and comfortable with our schedules.
Jean Cahuzac: Regarding the cost savings, Ricardo?
Ricardo Rosa: Hi, yes, good afternoon, Amy. We guided on the cost reduction of $550 million in 2016 and - sorry 2015 and $350 for 2016. But obviously we have an impact in the subsequent years. And the costs that we were focusing on are what we would describe as internal costs. They’re not the direct costs associated with the execution of a specific project, in other words the third-party inputs if you like. The main cost elements that we’ve been targeting are obviously the onshore resources and offshore resources. The costs of running our fleet and we’ve taken the long hard look at our facilities worldwide, and to the extent possible have shaped a way at the cost structures there, and had an appreciable measure of success. So when you evaluate our cost structure going forward, you should assume therefore that the reductions associated with our internal cost structure.
Jean Cahuzac: Yes, and that includes, obviously, I mean, personnel cost reduction.
Ricardo Rosa: Yes.
Amy Wong: All right, that’s helpful. Thank you very much.
Operator: We are now over to Mukhtar Garadaghi. Please go ahead. Mukhtar, your line is now open.
Mukhtar Garadaghi: This is Mukhtar from Citi. Two quick questions, if I may. Could you please comment on your project timeline - sorry, pipeline for the very near term, in particular any insight on how you are bidding on Mad Dog, whether there is any collaborations with OneSubsea there and any color on the bid? And also the two Indian projects, how big are they, and any indication of timeline that will be very helpful as well. And just in general, when I think about the run rate at you had for gas awards, so if we strip Beatrice from 2016, which you guys said was an one-off, is 2016 a good guidance of where we could be for 2017 in terms of intake? Thank you.
Jean Cahuzac: John, I’ll let you comment on the project.
John Evans: Yes. So on the near time pipeline, Mukhtar, we are bidding Mad Dog 2 at the moment. A lot of engagement with the client on that one at the moment, so in the right place on those discussions we feel at the moment, although they’re working very hard with the industry to see how that project will sanction. A work from BP is they recently we show that our project should meet their criteria to go through sanction. We have offered a standalone Subsea 7 price and we’ve also offered an alliance combination with OneSubsea into the mix. KG-D6 is out for bid at the moment. That’s a large project for Reliance East India. That is out for bid and we expect to put price from this side of Christmas, hopefully get clarifications on that in the first part of next year. And I think 98/2, the timing of that in the near term is slightly less clear. But it should be somewhere between the end of this year, and the end of quarter one next year. And again that’s another large East Indian project coming into the market.
Jean Cahuzac: Yes, with regarding the 2017 order intake, I mean, it’s difficult to answer your question. I mean, is clear for me that we are seeing more interest from clients, who are resurrecting projects and asking us to we look at engineering and getting ready to update pricing. But as we said before, I mean, we are talking about possible future in the next 18 months, I mean, I wouldn’t be able to tell you exactly what’s going to be awarded in quarter by quarter. That is very difficult to say.
Mukhtar Garadaghi: Sorry, John, just to follow up on that, do you see anything the size of West Nile Delta within that mix? I’m just trying to think about the Indian project. Is there anything sizeable, because a lot of the projects you are talking about on tiebacks. Just in terms of order of magnitude are these $500 million or this $1 billion project…
John Evans: Most of the projects that we see today are tieback for marginal field development. I mean, they can be of different size. Some of them can be large 98/2 is a very large project taking to account the process in India is still difficult to put an exact timing, but 98/2 is probably the largest one.
Mukhtar Garadaghi: Okay. Thank you.
Operator: We are now over to David Farrell at Macquarie Securities. Please go ahead. David, your line is now open.
David Farrell: Hi, thanks. Two questions for me. Firstly, in terms of the eight early engineering studies that have been fully undertaken now. Can you give us an update on the status of that, how many of that you moved forward into the tendering process? And then, I just wanted to kind of clarify in terms of the backlog for execution in 2018 now it’s down by $400 million. Is that entirely today with the address being accelerated? Thanks.
Jean Cahuzac: Yes, for 2018, I mean, it actually match the acceleration of the timing of exhibition of recurrent in the number on Beatrice.
John Evans: I’ll take the study question Jean. Yes, we’ve worked on a number of studies, obviously I’m not going to tell you where each one is, but we are in a number of discussions with clients that result from those about possibilities on projects that go with it. So it’s a format which works quite well, because it allows us to get into an engaged discussion about the specifics of their field, it allows clients to look at different scenarios. And as we mentioned earlier in Jean’s statements, we do believe that we will see an award for ourselves and our partners in this field in the near term.
David Farrell: Okay. Great, thanks.
Operator: Okay. Our next question is from Michael Rae at Redburn. Please go ahead. Your line is now open.
Michael Rae: Yes, hi, there. Thanks very much for taking my question. Can you just give us a bit more color on the utilization of the JV vessels next year, will both of the Seaway vessels work on Beatrice? And is there a contract wind up for the Sapura 3000? Thanks.
Jean Cahuzac: John?
John Evans: Yes, Beatrice utilize is both the SHL assets of different phases next year for installation on Beatrice on the plan that we’ve now drawn up one earlier and one later in the year. So we have some other activities for the oil-extraction [ph] have to do earlier in the year. On the Sapura 3000, you have some work in the start of the year, and then we’ve been in some work later in the year.
Michael Rae: Okay. That’s great. Thanks.
Operator: We are now over to Christopher Mollerlokken at SpareBank 1 Markets. Please go ahead. Your line is now open.
Christopher Mollerlokken: Yes, good afternoon, gentlemen. This is Christopher Mollerlokken from SpareBank 1 Markets. In terms of the Beatrice project, could you just remind us again how this is being booked, it’s part of the corporate backlog, but isn’t it fair to assume that this will be booked as the associate line and not be part of the 2017 revenues, will they book it in 2017 revenues as well?
Jean Cahuzac: Ricardo?
Ricardo Rosa: Yes, Christopher, good afternoon. The Subsea 7 as the contractor of - for the Beatrice project will be booking the revenues of the end costs associated with the execution of the Beatrice project. Seaway Heavy Lifting is the main subcontracted, because of the vessels that are utilized. And the profits at Seaway Heavy Lifting incurs or generates I should say will be picked up in our group financial statements through, if you like, the share of net income in associates in joint ventures.
Jean Cahuzac: And the way the project is executed is in partnership with SHL and we have commercial relationship with SHL on this particular project.
Christopher Mollerlokken: In terms of the SHL company there were news earlier resulting that your partner was looking to exit. Have you considered to become a thankful ownership of this company?
Jean Cahuzac: As you can imagine, I can’t really comment on the plants of our partners, it’s really the other one who are looking at what the best option for themselves, and I wouldn’t comment on that.
Christopher Mollerlokken: Okay. The final question, you mentioned the KG-D6 project in India. Reliance recently received $1.6 billion claim from Indian authorities, do you see this as a risk that the project timeline can slip?
Jean Cahuzac: This information we have at this stage seems kind of which [ph] changes, I mean the project seems to be on track.
Christopher Mollerlokken: Okay. Many thanks.
Operator: We are now over to Jessica Alderson at Morgan Stanley. Please go ahead.
Jessica Alderson: I have two questions for me, if I may. So my first one is follow-up to couple of the other questions that we had. So when you say that you expect main contract awards from your bidding with OneSubsea in near future. How early could this be? Could this be kind of like 1Q next year? And my second question is I know you said that the project close out for kind of - start to tail off next year, but are you expecting to see more project close outs in 4Q? Thank you.
Jean Cahuzac: Regarding the joint projects with OneSubsea, we’re talking about it - in the coming months. I mean, it’s difficult to predict, but they are the number of projects. Well, we’d be surprised if not several of them don’t materialize in near future. Regarding the projects closing, John do you want to comment?
John Evans: The main metrics we’re giving here is the very large projects that we picked up two, three years ago are all pretty much coming to an end at the moment. We will have certain projects closing as we do the last tiebacks [ph] on this year’s work, but a lot of that has been reflected in our quarter three positions. And next year the only work that we have primarily can do close some of our work in Egypt.
Jessica Alderson: Okay, great. Thank you very much.
Operator: We’re now over to the line of Haakon Amundsen at ABG. Please go ahead. Your line is open.
Haakon Amundsen: Yes, hello, guys, a couple of my questions were answered, but just to make sure I understand the working capital situation. Did you signal that you were going to see more capital - not more cash outflow for working capital in 2017?
John Evans: Haakon, good afternoon. I haven’t made any comments yet about 2017 and that guidance will be provided to you, when we next have - let me have on our next earnings call. As I mentioned very early in this year, when we provided some initial guidance on that working capital movement it’s a very difficult number to pin down, because there are lot of variables that comprise it. And as I’ve already commented, we have been somewhat - we under overestimated if you will be outflow that has taken place year-to-date, and as a result we have adjusted our guidance for 2016. Nevertheless, I remain firmly convinced that the underlying trend is for a part reversal of our negative position as we close out on the main project. The trend is somewhat obscured by the short-term movements in certain liabilities, and in particular that associated with our restructuring provisions, which obviously are going to be liquated or utilized in the coming few months.
Haakon Amundsen: All right. Okay, thank you.
Operator: We are now over to Frederik Lunde at Carnegie. Please go ahead. Your line is now open.
Frederik Lunde: Hi, congratulations on a very strong quarter, and I think this marks the seventh consecutive quarter you beat both our own guidance and consensus by quite a wide margin. So my question is really how to think about the your outlook for 2017, and now you don’t want to comment too much on this, but are you applying the same level of prudence here in your guidance for 2017 on the margins as you did, I mean, giving guidance for 2015 and 2016?
John Evans: I think the - our comments when we talk about the - our comment regarding margin for 2017. I mean, it reflects what Jean eluded to which that we have a number of very large project which will be 100% complete in 2016 most of them in Q3, not all of them in Q3, and beside Egypt we are not going to have such a large project in 2017. So that will have a significant impact on the margin.
Frederik Lunde: But on the positive side, you will also have more contribution with PSLVs, which are high margin and obviously also the full effect of the cost reductions. So this mean margins returning to ballpark the 20% level, we’ve seen regarding 2016, is that a fair assumption?
John Evans: We’re not going to comment on the 2017 margin beside the fact that they will be significantly lower.
Frederik Lunde: I’m so sorry, but you said the same thing last year for this year, and you massively beat your guidance which is a good thing, but just to reconfirm a numbers a bit. What was kind of the range, because the way you communicate now, you don’t give any floor?
John Evans: Now again, I mean, we’ll see if we can be more specific at the end of the year on the next coming quarter. I think at this stage, I wouldn’t go further.
Frederik Lunde: All right. Just keep it up on the operation side has been fantastic, and I look forward to in the future. Thanks.
Jean Cahuzac: Thank you.
John Evans: Thank you, Frederik.
Operator: We are now over to Kévin Roger at Kepler Cheuvreux. Please go ahead. Your line is open.
Kévin Roger: Hey, good morning. Just maybe one follow-up on the EBITDA guidance margin, just you are speaking a number of tieback projects to be sanctioned in the coming months. Those tieback projects are very fast track. Should we assume that those kind of projects, as the competition is much less fierce that the EBITDA margin on this kind of project is stronger than on greenfield projects?
Jean Cahuzac: I mean, the competition on tiebacks is strong taking to account, I mean, the few projects which are available, I mean, we are seeing more tiebacks as potential projects in the future; nevertheless, there is still a very strong competition on every jobs. So that put pressure on margin that will continue for some time.
Kévin Roger: So can we assume that the margin will be lower than on greenfield?
Jean Cahuzac: Well, it depends. Greenfield, I mean, there are not so many live projects. When you talk about the very large projects and it depends on the projects where they are. But, I mean, definitely on smaller job, there is more competition and therefore more operational margin, yes.
Kévin Roger: Okay. Thanks.
Operator: Our final question is from the line of James Evans at Exane BNP Paribas. Please go ahead. Your line is now open.
James Evans: Yes, good afternoon. Thanks for squeezing me in. A couple, please, firstly PLSVs, I mean, I know you’ve done a lot of work with Petrobras working on the longer term demand requirements. And there has been a lot of speculation on what that number is. I just wondered if you could share what your views are on longer-term requirements for general fleet use rather than you specifically based upon the work you’ve done. And secondly, I wanted to ask a little bit of Life-of-Field in i-Tech, obviously, pretty good performance through this year compared to some of your other listed peers. And I just wanted to get a sense to what extent pricing is already been reflect - the downward pricing is already been reflected in this business, and then obviously your slightly different profile of work to the EPIC business, [so when equally] [ph] you could provide them that would be very helpful. Thank you.
Jean Cahuzac: Yes, I mean, regarding the PLSVs, and probably the best way to answer your question is to quote Petrobras. We are obviously fully on top of their program and thought I’ll just quote. I think there was no significant change in their PLSV need. And when you look at the type of work, which is done by the PLSV, which is not only the new project, but also the maintenance or replacement of existing line, it seems to be a really big scenario. I think there will be a long term requirement for PLSV. Regarding Life-of-Field, John?
John Evans: Yes, [to run on Life-of-Field] [ph], as we saw in the five-year planning and the Northern [ph] field redevelopment there. Northern field is a lot of picking up our existing lines; reconfigure them and put them back down again. John says we do a lot of that work today. So we do as much work in pre-sold as we do in capped-well space and Santos as well. So that type of work is to be continued in Petrobras as well. And in terms of Life-of-Field, could you just give the question again there, James?
James Evans: Yes. I was just wondering to what extent the tougher market conditions around pricings already reflected in your results, because obviously the profile of the work there is different EPIC. I’m just wondering if we are closer to a new baseline there than we are in your kind of - in the more project-driven activity.
John Evans: I guess the benefit of the Life-of-Field is we have a mix of different clients where we work on one side on railways [ph] and the other on Life-of-Field client work. So again we have a more different pattern of renewals on some of that work. But I think it’s fair to say, as Jean said, competition is [pretty thick and quarterly is] [ph] that we are working in today. And we take each and every renewal of a ROV or renewal of a Life-of-Field contract as well as any major SURF contract very seriously. And there is a lot of competition out there in that sector as well with that one.
James Evans: Great, thanks for your answers.
Jean Cahuzac: I think…
Operator: And that was - yes, Jean, up to you for final comments, please.